Operator: Good day everyone and welcome to the Onity Group's First Quarter Earnings and Business Updated Conference Call. At this time, all participants are in a listen-only mode. Later you will have the opportunity to ask questions during the question-and-answer session. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] It is now my pleasure to turn the conference over to Valerie Haertel, Vice President of Investor Relations. Please go ahead.
Valerie Haertel: Thank you. Good morning and welcome to Onity Group's first quarter 2025 earnings call. Please note that our earnings release and presentation are available on our website at onitygroup.com. Speaking on the call will be Chair, President and Chief Executive Officer, Glen Messina and Chief Financial Officer, Sean O'Neil. As a reminder, our comments today may contain forward-looking statements made pursuing to the safe harbor provisions of the federal securities laws. These statements may be identified by reference to a future period or by use of forward-looking terminology and address matters that are uncertain. Forward-looking statements speak only as of the date they are made and involve assumptions, risks and uncertainties, including those described in our SEC filings. In the past, actual results have differed materially from those suggested by forward-looking statements and this may happen again. In addition, the presentation and our comments contain references to non-GAAP financial measures, such as adjusted pre-tax income. We believe these non-GAAP measures provide a useful supplement to discussions and analysis of our financial condition because they are measures that management uses to assess the performance of our operations and allocate resources. Non-GAAP measures should be viewed in addition to and not as an alternative for the company's reported GAAP results. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measures and management's reasons for including them may be found in the press release and the appendix to the investor presentation. Now, I would like to turn the call over to Glen Messina.
Glen Messina: Thank you, Valerie. Good morning everyone, and thanks for joining our call. Looking forward to sharing a few highlights for the first quarter, as well as review our strategy and financial objectives to deliver long-term value for our shareholders. Let's get started on Slide 3. I want to start with three key themes today. First, we're delivering on our 2025 operating priority to accelerate growth in originations volume and total servicing UPB. Second, our growth in book value and adjusted ROE performance demonstrate that our strategy is sound and execution is on track. And third, we believe our balanced business, positions us for success in high and low-interest rate environments. Let's turn to Slide 4 to review a few highlights for the quarter. Despite unpredictable market conditions, we delivered strong financial performance in the first quarter with adjusted pre-tax income of $25 million and annualized adjusted ROE of 22%, which exceeds our guidance. GAAP net income attributable to common shareholders of $21 million or $2.50 per share fully diluted reflects an annualized return on equity of 19% and is above consensus. Average servicing UPB of $305 billion for the quarter is up $13 billion versus the first quarter of 2024. Total servicing additions of $17 billion is down from the first quarter of '24, primarily due to lower subservicing additions related to the timing of bulk boardings. However, owned MSR editions more than doubled versus the first quarter '24. And finally, book value per share was up approximately 4% versus Q1 '24 and up approximately 2% versus year-end '24. We're pleased with our results for the quarter, which reflects the strength of our business and solid execution from our team. Let's turn to Slide 5 to discuss how we're positioned for the balance of 2025. We believe 2025 will be a dynamic and unpredictable year. We're expecting continued interest rate and GSC price volatility, which is likely to generally impact hedge costs and drive unpredictable surges in refinancing activity and origination margin volatility. The Mortgage Bankers Association and Fannie Mae estimate for industry origination volumes expected to be up 17% year over year. While not out of the realm of possibility, it is dependent on a 9% increase in home purchase volume and a 39% increase in refinancing volume. Economists have commented that the probability of a recession has increased since the beginning of the year, although we have not yet seen a deterioration in mortgage delinquencies. We believe the Rocket acquisition of Mr. Cooper has the potential to accelerate M&A activity for two primary reasons, the desire to accelerate servicing scale and a desire to own servicing capability. In addition, M&A activity over the past 12 months to 18 months amongst companies who had large concentrations of sub-servicing is giving rise to an increase in financial institutions, exploring their options for sub-servicing providers. We believe we're well positioned for this dynamic environment and we're maintaining our full year guidance. Our balanced business continues to demonstrate the resilience to successfully navigate high and low interest rates. We have a terrific servicing platform that is delivering top tier performance for the benefit of customers and investors. We believe our servicing portfolio mix and special servicing skills will help minimize advancing and delinquencies in the event of a recession and create delinquents of servicing growth opportunities. We are accelerating growth consistent with our planned actions and we believe we're on track to achieve our portfolio growth objectives. Should interest rates decline, we have an agile and high performing recapture platform that continues to close the GAAP to best practice. And as always in this dynamic environment, we are maintaining the flexibility to evaluate all options to create value for shareholders. Let's turn to Slide 6 for more about our balanced business. We believe our balanced business is positioned to perform well with high or low interest rates. As you can see even with the sharp increase in interest rates from 2021, our total business is delivering improved performance, driven by our servicing platform. Q1 2025 adjusted pre-tax income of $48 million for origination and servicing reflects both segments are operating profitably with servicing delivering most of our segment earnings. As in 2021, if interest rates were to materially decline, industry origination volume and margins typically expand, while servicing runoff increases. In this scenario, we would expect originations to deliver most of our earnings. Given the current outlook for interest rates, we expect servicing will continue to be the predominant earnings contributor for 2025 with industry originations volume projected to increase modestly. Let's turn to Slide 7 for more about our servicing platform. We've built a strong servicing platform and our team is delivering industry leading performance on multiple dimensions. We service or sub-service $1.4 million loans with the total UPB of over $300 billion on behalf of more than 4000 investors and over 120 sub-servicing clients. We service forward, reverse and business purpose residential mortgages and our clients and loan investors include some of the largest financial institutions in the United States. We've been recognized by Fannie Mae, Freddie Mac and HUD for industry-leaning servicing performance in each of the past four years. Our commitment to technology is evidenced with our automation center of excellence having been recognized in 2024 as best in class by the Shared Services Outsourcing Network, which is the world's largest community of business services and outsourcing professionals with more than 200,000 global members. During the first quarter, our investment in technology was evident with roughly 89% of customer inquiries handled through digital interface channels and robotic process automation, saving over 60,000 manual work hours a month. Our investments in talent, technology and global proprietary infrastructure have created a scalable, low cost, high performing platform for investors and customers alike. Our continuous improvement in customer experience is evidenced with a 4.6 and 4.1 out of 5 star satisfaction rating for our call center and load boarding performance respectively, as well as the 61 net promoter score from sub-servicing clients, a score consistent with companies such as Amazon, Apple and Google. In addition, we were named by the National Association of Mortgage Brokers, as one of their affiliate companies of the year for the past two years for our work in reverse mortgage. While we are not the largest servicer in the industry, we deliver top tier performance for customers and investors and are positioned to fiercely compete with anyone regardless of size. Please turn to Slide 8 to discuss how we're positioned for a recession. Onity's legacy DNA is special servicing. In the event of a recession, we believe our portfolio mix and special servicing skills position the company to minimize our exposure to advances and potentially take advantage of delinquent sub-servicing opportunities. Looking at our portfolio mix, the 51% of our portfolio in sub-servicing has no or limited exposure to advances and generally includes additional revenue to service delinquent loans. The 35% of our portfolio in GSE owned MSRs is generally with higher credit quality consumers and we have no obligation to advance principal and interest payments after 120 days of delinquency. Only the remaining 14% of our portfolio in PLS and GNMA owned and reverse owned servicing has exposure to all advances through resolution. Here's where our special servicing skills make a difference. In the middle of the page you could see how we perform on resolving delinquent loans. For all delinquent loans boarded in 2021 through 2023, 12 months after boarding we brought 61% of the loans to current or paid in full status and reduced the delinquent population by 60 percentage points. As you can see on the right side of the page, our ability to resolve delinquent loans is the primary reason why we're able to reduce outstanding advances on our legacy servicing book by 20% year-over-year with only a 10% reduction in loan count. We believe our special servicing skills are an asset that can be converted to revenue through delinquent subservicing in a recessionary cycle. Now let's turn to slide 9 to discuss the result of our growth actions. In the first quarter, our originations and capital markets teams delivered over two times growth in total MSR editions versus Q1 2024 with a 53% increase in originations volume versus an 8% increase for the overall industry during the same period. Our performance in MSR editions is consistent with our objective to retain more MSRs. To grow earnings and book value as well s reload our portfolio for we capture opportunity. Average total servicing in the first quarter is up $13 billion or approximately 5% year-over-year. Sub-servicing is roughly flat versus Q1 2024 with additions offsetting runoff and over $16 billion in scheduled transfers from the rhythm and math portfolios over the same period. The runoff in the rhythm subservicing portfolio has really masked our growth performance over the past several years. Since the beginning of 2020 the rhythm subservicing UPB has declined by $84 billion, while we increase all other servicing by $176 billion or roughly 2.9 times over the same period. I believe this highlights the power of our origination capability and success of our growth strategy. Switching to our product development activities we're excited to report that our new product launches are on track. The first quarter rollout of our enhanced closed and second lean product was very well received by customers with lock volume 3.6 times the same period last year. In April, we launched a proprietary, equity IQ reverse mortgage product on schedule and for the balance of the year. We are targeting to launch several non-agency expanded credit products to further expand the market opportunity we can access. We believe our product development actions expand our adjustable market opportunity, provides access to higher margin market segments and creates alternatives for our consumer direct platform to maintain operating capacity for surges and refinancing activity. Now please turn to slide 10 to discuss the progress we made in our recapture platform. Our Consumer Direct team is continuing to improve our recapture capability to near benchmark performance levels while maintaining the flexibility to address mortgage rate volatility. As you can see on the left, funding and lock volume in our consumer direct platform was up 2.7% and 2.5 times, respectively in Q1 2025 versus Q1 2024 as compared to 1.4 times for the industry over the same period. Based on our refinancing recapture benchmarking for the quarter in the last 12 months excluding home equity products, we believe our platform is performing better than average in several of our public non-bank third party origination focused peers and the ICE reported averages. For the first quarter, our refinance recapture rate is on par with our benchmark peer. While we are pleased with our recaptured performance so far we want to be the benchmark by which all others are measured. To that end, we continue to invest in talent, technology, predictive analytics, products and marketing to further improve our capability. Now, I'll turn it over to Sean to cover our financials and segment performance in more detail.
Sean O'Neil: Thanks Glen. Let's turn to slide 11 for our financial performance. 2025 is off to a strong start for us and the financial metrics reflect that. Here we compare three key metrics year-over-year. Top-line revenue grew 5%, while keeping operating efficiency stable. That combination flowed through to drive adjusted pre-tax income up to $25 million versus $15 million prior to your quarter. The result was an adjusted ROE of 22% which was well ahead of our guidance of 16% to 18% for full year 2025. This continued the upward trajectory of book value per share with $2.15 book value being added from the first quarter. Overall, we had a robust quarter, added scale to the servicing platform, growing UPB by $13 billion a year. Including growth in our owned MSR book by $12 billion and originations was again profitable despite the elevated rate environment. Please turn to Slide 12 for our servicing performance in both the forward and reverse space. The servicing segment again remained a strong contributor to adjusted pre-tax income. Forward servicing grew adjusted PTI through increased fee generation, which was up 6% year-over-year and 5% from last quarter, driven by the growth in owned servicing, which was up 9% from the prior quarter. Lower MSR runoff also helped to more than offset the seasonally lower first quarter flow income. Reverse servicing was up from the prior quarter, but lower versus prior year. The year-over-year change was due primarily to strong asset gains in the first quarter of 2024 as well as valuation adjustments on buyout loans in the first quarter of 2025. Overall, our reverse assets, our recapture capabilities, and our derivatives delivered an effective hedge to the forward MSR in the first quarter. The right graph shows an illustrative example of the impact of growing subservicing UPB in the subsequent lift and adjusted PTI. This shows the leverage that our operating platform provides as we build scale. And as Glen mentioned, we believe shifts in the competitive landscape that have occurred over the last 12 plus months, create opportunities to acquire new clients for subservicing. Let's turn to Slide 13 for the results of our origination segment. Originations grew adjusted PTI significantly year-over-year. This was driven primarily by total volume growing 50% from the first quarter of 2024 and the high margin consumer direct channel growing by about 165%. This improvement in consumer direct is driven by the strong recapture capabilities previously mentioned. Generally, the first quarter is the seasonally weaker originations quarter. Industry volume was down 21% quarter-over-quarter. Despite our lower volume, originations posted a consistent level of adjusted PGI. This was driven by stronger net interest income and improved operating expense. Overall, we continue to operate a profitable originations business with a wide range of products and we believe we are able to adapt to any interest rate environment. Regarding new high margin products, our additional home equity loan product is showing strong locks and the reverse proprietary product was successfully rolled out last week. Let's go to Slide 14, we'll confirm our guidance for 2025. Our financial objectives remain unchanged. Sustained adjusted PTI growth and earnings stability. These are enabled by increased scale and the agility to capture market opportunities. For 2025, we are confirming the guidance we provided last quarter, continued expectation of a strong adjusted ROE in the range of 16% to 18%, growth in our servicing book to exceed 10% year-over-year, a consistent hedge ratio targeting 90% to 110%, and a stable efficiency ratio as we prudently add costs commensurate with new revenue. Then we've also included information that we provided in our March 8-K release regarding the reasonable possibility that we will release some or all of our valuation allowance on our US, Deferred Tax Assets or DTA, by year-end 2025. For a frame of reference, the total Valuation Allowance or VA for the US DTA was about $180 million at the end of 2024 and using the 2024 year-end share count would create an increase of roughly $22 per share. This increase results from the valuation allowance lifting, which then allows the existing net deferred tax asset to be an accretive impact on net income, as an income tax benefit. This in turn increases our stockholder equity by the same amount. This will also have a beneficial impact on their leverage ratio as measured by debt-to-equity. In closing, I'd like to say this was a strong quarter. We are pleased with our results that exceeded guidance and the trajectory of our business. Back to you, Glen.
Glen Messina: Thanks Sean. Now please turn to slide 15, for a few comments before we open up the call for questions. I believe we're well positioned to navigate the market environment ahead and deliver long-term value for our shareholders. We've delivered a robust increase in profitability and returns in 2024, and we're off to a great start in 2025. Our performance is the result of our balanced business, capital like growth, top tier operating performance, discipline cost management and dynamic asset management. Our operating priorities for 2025 are aligned with our strategy and focused on three areas. Accelerating growth, differentiating operating performance and elevating the customer experience. Our execution is driven by our experienced team, who are relentlessly focused on delivering on our commitments and providing excellent service to our customers. All this comes together to suggest a share price that we believe has excellent upside and we intend to continue to take, the actions necessary and maintain the agility in a dynamic marketplace to harvest that value for the benefit of all shareholders. Overall, we could not be more optimistic about the potential for our business. With that, Nikki, let's open up the call for questions.
Operator: [Operator Instructions] We'll take our first question from Randy Binner with B. Riley. Please go ahead. Your line is open.
Randy Binner: Okay. Thank you. Good morning. Hard to know where to start, but obviously really solid quarter and good informative call, I guess, you know this the valuation allowance news and the kind of detail you provided here is pretty interesting. And so I hear that you're saying, it's worth $22 a share. And I just generally my experience with these is that, there can be ownership tests and rules of the IRS and timing things that affect how these kind of the value that DTA comes out. And so I just want to maybe dig into that a little bit some of the details there or are there really not limitations and it all it could all kind of create to equity value like on a single date.
Glen Messina: Sean?
Sean O'Neil: So Randy, thanks for the question. You're right. Valuation allowances are interesting and arcane. Really the key question that future performance and our continued analysis will show us is that, do we lift all or some of the VA? Whether it's some or all of the Valuation Allowance or VA, that then flows through dollar-to-dollar. It hits net income. It raises book value. So the question is how much of the VA remains? And we look at this by every quarter. We analyze positive and negative data. A cumulative loss in recent periods is negative evidence. And we've had the evaluation elements in place since 2015. So we think, given our recent strong performance over multiple quarters that we will transition from a cumulative loss in recent years to a cumulative income.
Randy Binner: Yeah.
Sean O'Neil: So that's kind of one of the key parameters, there's several others, but once you make the VA decision then the math becomes relatively simple.
Randy Binner: Okay. So there's no like then there's no ownership or other kind of tests that would hold back timing.
Sean O'Neil: No, I think you're referring to ownership changes which can affect the overall deferred tax asset which apply whether or not you have a valuation allowance and that's due to changes in shareholders over 5% but that's right 382 that's kind of a separate concept around DTAs.
Randy Binner: Okay. So that's
Sean O'Neil: Our DTA has been pretty consistent. The valuation allowance has been in that neighborhood of 175 to 183 for the last several years. We only printed in the K so it shows up once a year.
Randy Binner: All right well I have a bunch of others but I'll drop back in the queue. Appreciate that Thank you.
Glen Messina: Thanks, Randy.
Operator: Thank you. Our next question comes from Bose George with KBW. Please go ahead. Your line is open.
Bose George: Hey, guys good morning. Actually, just one follow up on the DTA. Is there any timing in terms of when it has to be utilized by?
Sean O'Neil: The vast majority of our DTA is not limited by a time frame. It's post 2000 I think it was 2017 Tax Reform Act when the DTAs only cover 80% of your taxable income but they're indefinite and that's the large majority of almost all of our federal and a good chunk of our state.
Bose George: Okay. Great. Thanks. And then actually it looked like there was a legal expense this quarter. Can you just talk about that and then just can you remind us where things stand in terms of anything else on the regulatory legal side?
Glen Messina: Yeah, I suppose it's Glen. So look on the legal side, yeah, we did reach an agreement in principle this quarter to resolve one of our oldest. Legacy class action litigation matters believe it or not this thing is nearly two decades old dealing with pre-acquisition PHH practices again that was were discontinued almost two decades ago. So look we had the opportunity to reach a settlement here again for this thing carrying on for almost 20 years. It's just let's get it behind us and move on.
Bose George: Okay. Great. And then just as a reminder is there anything else that's like sort of on the litigation front or regulatory front or is things kind of fully resolved now?
Glen Messina: Yeah. But as we our 10-K or 10-Q includes what we believe are that the generally the major litigation matters affecting the company. I think as look the mortgage industry is subject to litigation from a number of different directions in the ordinary course of business we and other market participants can become involved in all sorts of threatened and pending legal matters. And you know that's no different than anybody else in this industry the biggest thing out there from the prior administration is the just generally an adverse reaction to consumer fees charged to consumers of any type. We and others have been defending ourselves in a number of different pending actions or inquiries regarding convenience fees and we believe we've complied with the law in every one of those examples more recently. Resolved one of those matters with HUD so pretty much where we stand.
Bose George: Okay. Great. Thank you.
Operator: Thank you. [Operator Instructions] We will move next with Eric Hagen with BTIG. Please go ahead. Your line is open.
Eric Hagen: Hey, thanks. Good morning, guys. I want to ask about the Rocket Cooper merger and what you think is the impact on the subservicing market specifically how much you see that may be driving lower costs for the industry at large are you guys doing anything differently to source new business as a result of the merger and do you feel like it will even maybe change behavior from any of the other subservices in the market?
Glen Messina: Here, look we anytime you see a big transaction like that with Rockets announced acquisition of Mr. Cooper it's big it's disruptive it shakes things up a bit. I think, there's been a couple of folks who've been very vocal about how they think about the transaction and people generally fall sub-servicing clients in particular will generally fall into one or two camps. If people feel threatened by Rocket, they're going to want to think about other opportunities and where else could they go where they're partnering with a player who potentially is not going to be a threat to their business. And in other cases, people look at Rocket and say hurray [ph] love Rocket and want to be more closely aligned with them. So I think it's a mixed bag. But generally speaking, yes, we're seeing I would say two key themes emerge on the sub-servicing side, people either wanting to explore their options, but that's I would say not just solely related to Rocket Cooper. Over the last 12 months to 18 months, there's been a number of sub-servicing centric platforms that have changed ownership. And that creates an opportunity for people to consider alternatives, and yes, we've been very aggressive in growing our sub-servicing business. Last year, we added $46 billion of new subservicing UPB and a record 13 new clients, and we are attacking the marketplace with passion and energy and trying to continue to grow that side of our business.
Q – Eric Hagen: All right good stuff. I always appreciate your complete answers. A lot of your MSRs are flow and co-issue MSRs. Is there an advantage that you can point to in, in this environment being as volatile as it is for being a flow buyer versus a bulk buyer? Like is there a distinct source of value that you can identify for being in the flow market and being a formidable competitor there versus sourcing MSRs in a different channel.
Glen Messina: Eric, with our originations platform, we have basically have four in three different waters so to speak. We do the flow, which is our corresponding business. We also -- what I'll call delivery agnostics. So to the extent one of our clients wants to deliver to us through the co-issue channels, the cash channels CRX, S&P or PIT we'll do that as well and we opportunistically tap into the bulk market. So for us, we target a yield that's a proprietary number. We don't disclose it publicly, and we like to demonstrate some level of agility and flexibility to emphasize or de-emphasize those channels where we see the best economics. And having that ability, to lean into the flow market when the flow market is much more attractive or lean into the S&P, CRX, PIT market when that appears to be more attractive or bulk market if that appears to be more attractive, I think it is a great advantage for the company and gives us flexibility to maximize returns.
Q – Eric Hagen: Got it. Okay we're looking at slide 22. We're looking at the operating efficiency chart that you have there. I mean, is there an objective that you have with respect to the operating efficiency on the servicing side? Or is there or should we kind of like expect that level the kind of be stable.
Sean O'Neil: I'd say, our overall objective Eric, is just to continue to increase pre-tax income in each segment. We think our current levels are adequate. It can shift as we, if we brought in more special servicing, you would see possibly it slightly increases until revenue catches up, same thing with big chunks of reverse. But overall, we like the level we're at, always continue to try and drive it slightly better through technology, operations, talent, scale but we do not have a stated target that we're trying to attain in a certain period of time.
Q – Eric Hagen: Alright appreciate you guys. Thank you.
Sean O'Neil: Thanks, Eric.
Glen Messina: Thanks, Eric.
Operator: Thank you. [Operator Instructions]. And there appear to be no further questions at this time. I will turn the call back to Glen Messina for closing remarks.
Glen Messina: Thanks, Nikki and I'd like to thank our shareholders and key business partners for supporting our business. I'd also like to thank and recognize our Board of Directors, and the Onity Global Business team for the hard work and commitment to our success. I look forward to updating everyone, on our progress to the next quarterly earnings call. Thank you.
Operator: And this does conclude today's program. Thank you for your participation. You may disconnect at any time.